Operator: Good morning and welcome to the FMC Technologies second quarter 2008 earnings release teleconference. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions]. In the event of technical difficulties during this call, we will post updates at www.fmctechnologies.com/earnings. Thank you. Your host is Rob Cherry, Director of Investor Relations. Mr. Cherry, you may begin your conference.
Robert K Cherry - Director of Investor Relations: Thank you, Operator. Good morning and welcome to FMC Technologies second quarter 2008 earnings conference call. Our press release and financial statements issued yesterday can be found on our website. During our call, we will reference earnings from continuing operations, which excludes results from small FoodTech product line that we exited in 2007. Historical events have been revised to reflect these operations as discontinued. In our press release, in addition to our usual financial statements, you will find pro forma results for FMC Technologies, excluding JBT Corporation, for the year 2007 and for 2008 year-to-date. I would like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current views and assumptions regarding future events, future business conditions, and the outlook for us based on currently available information, these forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. I refer you to our disclosures regarding risk factors in our Annual Report and our other SEC filings. I will now turn the call over to Mr. Peter Kinnear, FMC Technologies President and CEO.
Peter D. Kinnear - President and Chief Executive Officer: Good morning. Welcome to our second quarter 2008 conference call. On the call with me today are Bill Schumann, our CFO; John Gremp who heads our Energy Systems, Charlie Cannon and Ron Mambu who are the CEO and CFO of JBT Corporation. I will give you some highlights of our second quarter and an outlook on our 2008 progress. Bill will provide you with additional details on our financial performance, an update on the spin-off of the FoodTech and Airport businesses into JBT Corporation, and finally we will open up the call for your questions. We had an excellent second quarter, we maintained a strong backlog and we had increased operating profits in all our segments. Our diluted earnings per share from continuing operations of $0.81, was up 47% from the prior year quarter. Operating profit in Energy Production segment was up 50% and in Energy Processing, it was up 23% over the second quarter of 2007. Energy Production revenue was up 31% from the prior year quarter on the strength of our subsea and surface wellhead businesses. Subsea revenue was a record $779 million, up 35% from the prior year quarter. Even with the record revenue, we were able to maintain subsea backlog at $3.9 billion. As for profits in Energy Production, the operating margin in the second quarter was 11.1%, as compared to 9.7% in the prior year quarter. We continue to expect 11% for the full year. Turning to Energy Processing segment, revenue was up 20% from the prior year quarter. Our Fluid Control business, including WECO/Chiksan, remains solid with sales up 10% from the prior year quarter. This was a growth rate we had expected for the first half of 2008. All of the other Energy Processing businesses had attractive sales growth quarter-over-quarter, with measurement leading the way growing more than 30%. For the profits in Energy Processing, we increased the operating margin in the second quarter to 19.4%, up from 19% in the prior year quarter. Let me now discuss our Subsea Systems business. We continue to see a trend towards more complex Subsea Systems and more equipment being deployed on the seabed as evidenced by awards. The outlook for Subsea Processing, especially separation, continues to be very positive. The need to address produced water and the subsea separation of gas from liquids is now evident in the North Sea, West Africa, the Gulf of Mexico and offshore Brazil. Speaking of Brazil, I think you are aware of the sizable new deepwater subsalt discoveries, including Tupi, Jupiter, and Carioca. With our 50 history in Brazil and over 1,000 employees and our recently expanded manufacturing and assembly facility, we are confident in our position to be a key subsea player in this region. This, of course, means supplying subsea systems to Petrobras and others, such as Shell and Chevron, both of whom we have significant ongoing subsea projects with FMC in Brazil. While our presence in Brazil and market share with Petrobras are significant, it is really our technology position that stands out. Petrobras typically integrates their subsea control systems on their manifolds, of which FMC currently has a majority market share for this technology. Subsea boosting is another strong area for us in Brazil. We have delivered five electric submersible pump system and have another 10 subsea boosting systems in backlog. Lastly, increased produced water is a serious concern for many operators, including Petrobras. We believe that our Subsea separation technology and experience position us well to address this market. Another driver for our Subsea business in 2008 and beyond is the strong activity resulting from our alliances and frame agreements. Since our last earnings call, we have announced four StatoilHydro orders to link over $220 million from our frame. We also entered a new alliance with Anadarko and renewed our alliance with Woodside in Australia, which by itself is expected to result in orders for over 80 subsea trees in the next five years. The broader perspective on the market is also very encouraging with the recent Petrobras rig announcements the deepwater rig fleet is now expected to grow almost 50% by the end of 2012. This added capacity to develop future deepwater fields will undoubtedly support the growth of our subsea business. In the near term, we continue to see 2008 as another year of growth in subsea, solid execution of our backlog lead to subsea revenue of over $3 billion for the full year. So, in summary, our energy systems backlog remains strong and these margins were at record levels. Operating profit in the energy production segment was up 50% and in energy processing it was up 23%. We are optimistic about the growth potential in the industry and are confident in our technology and product positions. The end results for the quarter was 47% increase in diluted earnings per share from the prior year quarter. We are increasing our 2008 full year estimate of FTI diluted earnings per share excluding JBT by $0.20 to a range of $2.60 to $2.70. Now let me turn it over to Bill Schumann, who will provide you some further details on the quarter.
William H. Schumann, III - Executive Vice President and Chief Financial Officer: Thanks Peter. Let me review the operations first and then I will touch on the spin and guidance. First of all energy production sales were $948 million in the second quarter, up 31% over the prior year quarter, primarily due to the growth of subsea which was up 35%. Surface Wellhead also generated significant revenue growth of over 20% during the quarter. The energy production segment generated EBIT of 104.9 million in the quarter, up 50% from the prior year quarter. Its operating margin was 11.1% for the quarter. As Peter stated, we still expect the segment margin to be around 11% for the full year results. Inbound orders in Energy Production were $987 million, down 9% from the prior year quarter. Backlog of 4.3 billion, was up modestly compared to the last quarter with subsea backlog at 3.9 billion. Energy Processing sales were up 20% over the prior year quarter. The segment generated EBIT of 42.9 million in the quarter up 23% from the prior year quarter. The operating profit improvement was primarily the result of higher volume. Fluid control sales were up 10% from the prior year quarter, measurement, loading systems and material handling are infrastructure businesses all had record second quarters for both sales and profit. Inbound orders for Energy Processing were up 8% from the prior year quarter. Backlog at $367 million was up 9% from the prior year quarter. FoodTech’s revenue of 160 million was up 4% from the prior year quarter. Operating profit was $15.9 million, up 27% on higher operating margins. Airport systems’ revenue of $117 million was up 37% in the quarter, mainly on deliveries of ground support equipment. Operating profit was 10.5 million up 84% over the prior year quarter on the higher volume and ability to leverage overhead across the business. Now for the corporate items, we incurred 5.5 million, or $0.04 per share in JBT spin-off related expenses in the quarter. 300,000 of that expense, was incorporate to staff expense and 5.2 was in other expense net on our income statement. In total, other expense net of 6 million increased 2.1 million from the prior year quarter. The JBT spin-off expenses of 5.2 million in that line item were offset by an 11.2 million, non-cash, mark-to-market gain associated with foreign currency forward contracts. This foreign exchange gain compares to $5.2 million gain in the second quarter of 2007. The majority of the foreign exchange gain in the second quarter was related to foreign currency forward contracts associated with past 4 project [ph]. As I described after our first quarter, we agreed to accept payment in US dollars on the pass 4 contract, but the majority of our costs were in Norwegian kroner. So we entered into foreign exchange contracts to protect the economic value of the project. Under our accounting practices, we defer the changes and spot foreign currency rates until the termination of the hedge. But we record the difference between spot rates and forward exchange rates… excuse me forward exchange rates known as forward points on the income statement. These forward points fluctuate with interest rates. During the first quarter of 2008, the decline in US interest rates resulted in charges to the income statement, while in the second quarter, the increase in US rates resulted in gains. These gains and charges are temporary, will reverse themselves and ultimately net to zero as the foreign exchange contracts progress towards maturity. The tax rate for continuing operations in the first quarter was 33.2%. The higher than expected tax rate related to our country mix of earnings and the limited deductibility of certain spin-off costs. Our net debt at the end of the quarter was $48 million. We spent $81 million in the second quarter to repurchase approximately 1.2 million shares of common stock. We still have 10.7 million shares and $95 million outstanding on our stock repurchase programs. We averaged 130.4 million diluted shares outstanding in the second quarter. We spent $43.4 million for capital additions in the quarter, mainly in the Energy Production segment to fund Light Well Intervention Systems. The plan to spin-off FoodTech and Airport businesses in the JBT Corporation is on schedule. The Form-10 has been made effective. The private letter ruling was received from the IRS and the Board of Directors has declared the dividend of JBT to FMC Technology shareholders on July 31st. In addition to FMC trading the normal way, since July 18th, both FMC and JBT have been trading on a when-issued basis. FMC Technologies when-issued is trading without the dividend of JBT and JBT when-issued is trading as if it had already been spun-out. After July 31st, both FMC Technologies and JBT will be trading the regular way. JBT expects to have its second quarter 2008 earnings conference call on August 12th, at which time details on its second quarter results will be made available. In our press release, we have included pro forma FMC Technology results, excluding JBT Corporation, for 2007 and for year-to-date 2008. We are also providing 2008 guidance for FMC Technologies, excluding JBT. Our previous guidance of $2.80 to $2.90 for FMC included JBT. Although, we did indicate that approximately 86% of that guidance was based on net income from our energy businesses. Therefore, our previously implied FMC Technology guidance, excluding JBT, was $2.41 to $2.49. We are now increasing that 2008 guidance, again excluding JBT, by approximately $0.20 to $2.60 to $2.70. So, in summary, we reported a strong quarter of earnings at $0.81, up 49%. Subsea revenue was a record $779 million, up 35%. Energy Production and Energy Processing segment operating profits were up 50% and 23% respectively from the second quarter of 2007. And we have increased our 2008 guidance for FMC Technologies, excluding JBT, to a range of $2.60 to $2.70. Now Operator, you may now open up the call for questions. QUESTION AND ANSWER
Operator: [Operator Instructions] Your first question comes from the line of Rob Mackenzie.
Robert McKenzie - Friedman, Billings, Ramsey & Co.: Good morning, guys.
Peter D. Kinnear - President and Chief Executive Officer: Good morning, Rob.
Robert McKenzie - Friedman, Billings, Ramsey & Co.: I punched in earlier, but I punched in again. It looks like they may have had a problem with their queue. Question for you here on the order outlook, could you give us a run down for how you handicapped the upcoming orders, you know, Goliat, Jack/St. Malo. Dollyman [ph] etcetera from your recent presentation? What timing looks like, what slipped, what’s close?
Peter D. Kinnear - President and Chief Executive Officer: I will let John, let’s respond to that.
John T. Gremp - Executive Vice President, Energy Systems: Rob, this is John. Jack/St. Malo is moving on pretty well. The tender is expected to come out within the next 30 to 60 days. So I think that’s holding the schedule. Dollyman [ph] is also on track for the first half of 2009. ENI Goliat, that project in Norway that one has been moving out. Then we’ve got a number of projects, actually almost 20 projects in total that we consider major products that look like they’ll be in the 2009 time frame and we’re tracking all of those.
Peter D. Kinnear - President and Chief Executive Officer: I’d say about a third of those are in Angola, a handful in Norway, a number in Australia. All places we have strong positions in.
Robert McKenzie - Friedman, Billings, Ramsey & Co.: Thanks for that, John. And what would you say is the nearest term, sizeable, major project, as per your definition, 150 million. What’s the most likely first award that you think you guys are going to win?
John T. Gremp - Executive Vice President, Energy Systems: I think there is a couple out there that, that we’re chasing, I already mentioned Jack, St. Malo that one in the Gulf of Mexico, is the target for us. The Jubilee project in Ghana that is also a target for us and hopefully it would be awarded possibly before the end of the year. So, those are the two that we are watching.
Robert McKenzie - Friedman, Billings, Ramsey & Co.: And how would you tell us to think about call-offs from your Statoil Frame Agreement for the rest of the year here?
John T. Gremp - Executive Vice President, Energy Systems: Well, I think as you know, we got four call-offs they were announced over the last, last couple of months. So, we’re really pleased with the Statoil Frame Agreement. We’re starting to see some call-offs. I’d also make the point that in the last two quarters, our inbound was driven as much, if not more by call-offs from our various alliances. I think you’re aware in the first quarter we named two alliances, one with Devon and one with LOG and then this past quarter, we renewed our Woodside alliance and signed another alliance with Anadarko. So we are excited about the number of alliances that were adding to our portfolio and expect particularly in the Gulf of Mexico with rigs becoming more available, we’re seeing independence call-off more and more systems and I think for the first two quarters of this year, we had healthy inbound from those call-offs.
Robert McKenzie - Friedman, Billings, Ramsey & Co.: So would you expect, in the back half of the year, given what you see in call-offs from the different alliances and other orders that are out there, would you expect backlog to be flat, rise a bit, dip a bit before ‘09?
John T. Gremp - Executive Vice President, Energy Systems: We think it will be flat.
Robert McKenzie - Friedman, Billings, Ramsey & Co.: Okay, thanks. And follow-up question here on the second quarter, could you tell us how many trees you inbound during the quarter and what the revenue for tree came out it. I can calculate that if I know the trees.
Peter D. Kinnear - President and Chief Executive Officer: Yes, Bob its Peter. We inbounded 24 trees and in our inbound, I should mention, we had a significant number of scope changes in our, in some of our projects, which came in as variation orders or change orders to those projects. So, that was an item and we also had a fair amount of installation service revenue in the quarter relative to the activity with our offshore activities. So, when you calculate the numbers, it’s fairly large.
Robert McKenzie - Friedman, Billings, Ramsey & Co.: Okay, great. I’ll give someone else a chance. Thanks, guys.
Operator: Your next question comes from the line of Bill, Howard.
William Sanchez - Howard Weil Inc.: Thanks, good morning.
Peter D. Kinnear - President and Chief Executive Officer: Good morning, Bill.
William Sanchez - Howard Weil Inc.: You mentioned in your opening remarks about, I think expansion in Brazil. Can you remind us or specify exactly what your Subsea Tree capacity is at the moment? And where you intend to take that, by when, and what will it cost you?
Peter D. Kinnear - President and Chief Executive Officer: Yeah, good question. Bill we’ve been adding, as you know, globally in terms of our capacity in Brazil was in that equation. We had a fairly small high bay assembly facility and so we bought a piece of property, adjacent to our facility and probably tripled the size of our assembly space. That was one major investment and we have added some machine tools in the factory in terms of throughput in the process.
William Sanchez - Howard Weil Inc.: Okay.
Peter D. Kinnear - President and Chief Executive Officer: We probably, you know, it depends on the mix of trees, but we probably put local capacity of 50 to 60 trees per year. We do quite a bit of subsea manifold assembly in our facility and which is a little bit different strategy than we have at some of our other locations, where we subcontract quite a bit of fabrication.
William Sanchez - Howard Weil Inc.: That we’re at 50 to 60 today and given these enhancements that you’ve made, where is that going to take you?
Peter D. Kinnear - President and Chief Executive Officer: We were probably in the 30 to 35 range.
William Sanchez - Howard Weil Inc.: Okay, got it.
Peter D. Kinnear - President and Chief Executive Officer: And then obviously with the investments Petrobras making in the new rig, we’re back looking at the drawing board whether we need to do some more.
William Sanchez - Howard Weil Inc.: Okay, but I’d assume that’s probably you are going to do something, but you’re not exactly sure what that entails.
Peter D. Kinnear - President and Chief Executive Officer: Yeah, that’s correct.
William Sanchez - Howard Weil Inc.: Second line of inquiry here is what kind of visibility are you getting with respect to WECO/Chiksan. We have the capital equipment orders start at unfold or is it just fervent dialogue at this stage?
Peter D. Kinnear - President and Chief Executive Officer: We have had very strong field activity as you can appreciate with the unconventional gas activity in the marketplace. So, that’s been really strong for us.
William Sanchez - Howard Weil Inc.: Right.
Peter D. Kinnear - President and Chief Executive Officer: The capital side still, a little slow. You know, we’re talking to those service companies about their ‘09 game plan in terms of new builds of equipment and add, but as you know, we’ve said before, about 75% of our revenues comes from the field activities and 25 from CapEx. This year, obviously is skewed a little bit more towards the field.
William Sanchez - Howard Weil Inc.: Yes, I guess I’m trying to get a sense. So, you’re not necessarily engaged in a lot of discussions with regard to capital equipment or I guess we’re getting late in year now for the second half of this year.
Peter D. Kinnear - President and Chief Executive Officer: No, we’re in discussions with their requirements, but it’s pushing more towards early ‘09.
William Sanchez - Howard Weil Inc.: Okay. And if one were to submit a capital equipment order to you today with regard to WECO/Chiksan, the lead time for delivery would be what?
Peter D. Kinnear - President and Chief Executive Officer: It depends on the complexity of the equipment, probably three to six months, something like that.
William Sanchez - Howard Weil Inc.: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Dan Pickering.
Dan Pickering - Tudor Pickering: Good morning, guys.
Peter D. Kinnear - President and Chief Executive Officer: Good morning, Dan.
Dan Pickering - Tudor Pickering: I was wondering if you could talk a little about kind of the cost structure post to spin-off. Bill, would you expect to see any meaningful reduction in corporate costs or is this going to be something where the cost structure remains relatively unchanged?
William H. Schumann, III - Executive Vice President and Chief Financial Officer: Yeah, Dan. There’ll be some, some small minor reductions in the corporate expense line and in what we call other income net, reflecting reduced costs in that area too. But I would expect us to go back to 2006 levels in corporate expense and a little bit under $10 million a quarter in OID, excluding these fluctuations that we’re seeing in foreign exchange.
Dan Pickering - Tudor Pickering: Okay. Thank you. And then, Peter, I heard, you indicated 24 awards for FTI on the subsea side during the quarter, what was the industry number? And then as you look at kind of ‘09 and ‘10, do you see, at this point is -- from the delivery end perspective, do we anticipate, or at least order inbound perspective, do we think the market grows as faster, I mean we are going to have any lumps in here, is it pretty steady growth?
Peter D. Kinnear - President and Chief Executive Officer: Well it’s a good question. I mean, we’re still pretty optimistic obviously with the rig additions coming in and it really depends on the mix of what the rig’s going to do and whether they deploy it on already discovered fields that they can start to bring out production. They have not announced Quest as the one that kind of compiles the tree data and I haven’t seen any numbers yet on that. So I can’t comment on the second quarter awards in total. I mean, I think the industry’s looking… I think through probably at the high 400, 500 level for the year, in terms of total trees.
Dan Pickering - Tudor Pickering: Okay.
Peter D. Kinnear - President and Chief Executive Officer: And again the tree gets to be a smaller and smaller portion of our revenue because we’re doing lots of other things in the subsea arena that the tree get tends to be, I mean it’s important because it gives some gauge of activity, but it’s really not as meaningful as it used to be.
Dan Pickering - Tudor Pickering: Okay, great. And then are you seeing any… given that the customers are getting anxious about rig availability and tieing up rigs way out into the future, are you seeing any sort of change in behavior in the kind of ways that the customers interact with you? Are they trying to get guaranteed capacity or do anything to make sure that they have availability of your products out as we stretch into the next few years?
Peter D. Kinnear - President and Chief Executive Officer: Well, I think, the trend for these alliances which John mentioned earlier, is an indication that they want to…I mean the subsea is a critical technology for them. They want to team up with some of them. They want to form this partnership for capacity, and so that they can get priority and make sure that they can deliver these big developments on time. So, yeah, I think it’s a growing trend and we’ve been very successful in signing up a number of our clients to do that.
Dan Pickering - Tudor Pickering: Great, thank you.
Operator: Your next question comes from the line of Kurt Hallead.
Kurt Hallead - RBC Capital Markets: Hey, good morning.
Peter D. Kinnear - President and Chief Executive Officer: Good morning, Kurt.
Kurt Hallead - RBC Capital Markets: I wanted to just get a general sense on you guys have been very consistent in your viewpoints on the Energy Production margin throughout the course of ‘08 and just want to try to get a general sense as to, how you can drive, how you can, what you can do from a company standpoint to potentially drive higher margins in that business if you head out into 2009.
Peter D. Kinnear - President and Chief Executive Officer: Well I think, I mean two points, one is pricing and second is got be our internal execution on these projects in terms of, making sure that when we roll up our big costs to make sure that we have, fully understand our big costs and then when we turn around to buy materials, so we can get the materials and internal execution in the factories to meet the cost targets. So, I mean, it’s, most of our, you probably understand, most of our bids tend to be fixed price. If it’s a high, high content of new, technology, we tend to push for cost plus in those so that we, if it’s a complicated execution, we don’t risk margin there, but it’s a matter of pricing and execution.
Kurt Hallead - RBC Capital Markets: Okay. And would you say at this point that the pricing that you have in backlog would indicate a continued expansion in margins as you head out into 2009?
Peter D. Kinnear - President and Chief Executive Officer: Yeah, I mean, we’ve talked that we’ve been trying to increase our margins and prices and I think we’ve been successful. We’ve ramped up over the last year, 100 to 200 basis points in margins and we’d expect to try to continue that trend into ‘09. We haven’t rolled up our budgets or anything yet. Kurt, so it’s a little early to see exactly how it’s going to fall and we have. We have over 50 to 60 projects in the backlog and that’s why we go through a detailed roll-up of all those projects as we go forward and certainly we’ll give you an indication of that going forward.
Kurt Hallead - RBC Capital Markets: And the same context in energy production, margins continue to tick higher there quarter by quarter. This type of progression something nice to see sustainable, is it all just activity in volume growth. Can you give us some insight on how you see it?
William H. Schumann, III - Executive Vice President and Chief Financial Officer: Yeah, Kurt this is Bill. Most of the increase in margin I think it went from 19 to 19.5 in the quarter over 2007. Really came from the measurement business and loading systems business. They’ve really had outstanding years. Their execution has been much improved and most of the margin increase, like all of the margin increased so you see is really coming from those businesses and yeah, we probably expect to be able to maintain that through the rest of the year.
Kurt Hallead - RBC Capital Markets: And how big are those businesses relative basis, thinking about on a revenue scale?
William H. Schumann, III - Executive Vice President and Chief Financial Officer: Well, in total, you know, if you look at the segment, fluid control in round numbers is maybe 40% of the segment. So, we’re talking about 60% of the segment in the other four businesses.
Kurt Hallead - RBC Capital Markets: Okay, great. All right.
William H. Schumann, III - Executive Vice President and Chief Financial Officer: Excuse me, three businesses.
Kurt Hallead - RBC Capital Markets: Okay.
Operator: Your next question comes from the line of Doug Becker.
Douglas Becker - Bank of America Securities: Thanks, question for Peter or maybe Bill. Obviously your results have been higher than you’ve been guiding to for the past couple quarters. Where is the biggest surprise internally been relative to the forecast?
William H. Schumann, III - Executive Vice President and Chief Financial Officer: We’re doing a little bit better in energy production. I mean we had excellent execution, frankly, better than we expected in our Subsea Business and in our Energy Processing businesses, and those other business the Infrastructure businesses if you will. And those have been the big surprises, at least year-to-date.
Douglas Becker - Bank of America Securities: Yeah, when you say execution, is that a function of the capacity that you’ve been adding? Is it something internally that you’ve been streamlining? Is there something we can point to more specifically?
Peter D. Kinnear - President and Chief Executive Officer: It’s a whole bunch of things, it’s getting estimates right, it’s getting material at the price that you expected to buy it. It’s getting designs done early, so you can get the equipment at the assembly line to get it assembled on time. It’s the lack of having to expedite processes. It’s all of that wrapped together in to execution.
Douglas Becker - Bank of America Securities: Okay, fair enough. Then maybe more color on the frame agreements. I assume you’re still having conversation with customers, might be interested in that. And what do they typically entail from a contractual standpoint?
John T. Gremp - Executive Vice President, Energy Systems: This is John. We’re constantly trying to target customers that we know active in deepwater and have an interest in some kind of long-term relationship, because we think we can add value in the context of that relationship. So, there are more out there, I’d say particularly some of the independents, who really benefit from signing up with somebody over the long-term they can standardize on their equipment and that sort of thing and focus on technology that’s applicable to their deepwater wells. So, there is interest and we have other customers that we’re targeting. Typically in the contract, as I alluded to, it’s longer term. Sometimes there is fixed pricing with escalations. Sometimes the pricing is negotiated per project. Typically these contracts are broad in scope, its not contract to just provide Trees its all the other equipment. These longer-term customers are looking to us to be the entire systems integrated. So, those things are usually included in our alliance or frame agreements. And often times they are exclusive some, some are exclusive FMC, some are restricted to a particular geography, others are not as exclusive.
Douglas Becker - Bank of America Securities: Okay, that’s helpful. And then just quickly on the surface tree business, how much of that’s domestic versus international. How should we think about the surface tree business going forward, certainly the number of land rigs and shallow water rigs are going to be driving that growth going forward as well?
John T. Gremp - Executive Vice President, Energy Systems: Our service business about one-third domestic and two-thirds international, our international business has been real strong. I think over the last year or so, the shallow water platform business in the gulf has been a little bit light, but I think there are opportunities for that to come back.
Douglas Becker - Bank of America Securities: Okay, thank you.
Operator: Your next question comes from the line of Stephen Gengaro.
Stephen Gengaro - Jefferies & Company, Inc: Thanks, good morning, gentlemen. Two things, one real quick, your guidance, does it exclude the FX noise?
William H. Schumann, III - Executive Vice President and Chief Financial Officer: No, it doesn’t exclude the FX noise. I also can’t forecast it in the future. So, I’ve included the FX noise that absorbs so far this year.
Stephen Gengaro - Jefferies & Company, Inc: Okay. But back half of the year you just basically assume it zero?
William H. Schumann, III - Executive Vice President and Chief Financial Officer: Yes.
Stephen Gengaro - Jefferies & Company, Inc: And then the second question, from a bigger picture standpoint, have you seen anymore noise added GE and any, any update from a competitive perspective, what your guys’ view on their actions and their approach to the market?
Peter D. Kinnear - President and Chief Executive Officer: It’s Peter. It’s a good question and quite truthfully I mean they’re pretty low key in the marketplace, so we really don’t see too much, you know, too much activity in terms…they won a project in Norway for EP maybe three or four months ago. And I think they’re still integrating WECO and obviously they acquired the Hydro BOP business and that’s being integrated into their businesses. And we’ve seen some employees that have turned over in terms of their organization, but it’s been pretty quiet really.
Stephen Gengaro - Jefferies & Company, Inc: Okay, thanks. And then just one finally as you get this spin-off done, the end of this month. Do you have sort of a strategic direction, are there businesses that you don’t have, you’d like to add, are there things you’re looking to do strategically within what’s remaining to grow the business?
Peter D. Kinnear - President and Chief Executive Officer: Well, certainly we want to…after the spin will be…100% focused on our energy products and services, certainly the offshore arena, where we can do more activities. And we’ve taken a pretty early position in Light Well Intervention, which was kind of a strategic thrust for us. So, I think you’ll see us look at more things like that. Obviously Subsea Processing is a growing market for us. So, we’re going to be very focused on that.
Stephen Gengaro - Jefferies & Company, Inc: Very good, thank you.
Operator: Your next question comes from the line of Gibney.
Joseph Gibney - Capital One / Southcoast, Inc.: Can you hear me?
Peter D. Kinnear - President and Chief Executive Officer: Good morning, Joe.
Joseph Gibney - Capital One / Southcoast, Inc.: Peter just wanted to follow-up relative to Mexico. I know last quarter you mentioned Pemex maybe stepping out a little bit more in deepwater project that tree in particular project that were in the works. You mentioned some shallow tree work. Given all the constitutional drama we had down there. Any sense of how that market is shaping up, is that stand still there or do you see kind of pushing to the right a little bit, just curious/
Peter D. Kinnear - President and Chief Executive Officer: I mean their interest in the subsea shallow water tree business continues. Actually we got add on of two more trees to our contract down there. We also, we’ve seen them with some interested in the deeper water in terms of some potential projects and exploration work in deeper-water. And also on the surface side, we just picked up some work in the southern marine region. So we are pretty well positioned in Mexico with Pemex and I think we’ll get our fair share of work down there.
Joseph Gibney - Capital One / Southcoast, Inc.: On the processing side, last quarter you also mentioned 10 to 12 kind of potential subsea processing opportunities and curious if that number is still the same as it expanded or any of these projects pushing to the right and curious relative to how towards the performing relative to your expectations, any feedback there?
Peter D. Kinnear - President and Chief Executive Officer: I think our list of potential Subsea Processing projects globally is about the same 10 to 12. We really haven’t seen much change in that list and in terms of the specifics around Tortoise. I think you may have read in some of the press that Standall has had some problems with their injection well and they’ve had some of the produced water coming back to the surface. So that unfortunately…our equipments working fine. Not a problem, but the injection wells not performing up to the expectations. So, they’re considering, remediation actions, either with trying to do something with the existing well or they may have to drill a new well. It’s up to them to decide what they want to do.
Joseph Gibney - Capital One / Southcoast, Inc.: One last one if I may Bill just follow-up relative on CapEx kind of post JBT and how should we think about that as we look to ‘09 a little bit more. I know most this has been, this quarter similar to last quarter on the Light Well side just to kind of help frame that context on a go forward basis. I appreciate it.
William H. Schumann, III - Executive Vice President and Chief Financial Officer: I think you’re going to continue to see us spend, probably 150 million on the energy only side and you’ll see a number like that in 2009 also.
Joseph Gibney - Capital One / Southcoast, Inc.: Thanks, guys. I appreciate it. I’ll turn it back.
Operator: Your final question comes from the line of David Anderson.
J. David Anderson - UBS: Thank you very much.
Peter D. Kinnear - President and Chief Executive Officer: Good morning.
J. David Anderson - UBS: Perhaps this question is for John. Hi, good morning Peter. I’ve been hearing some talk of this some bottlenecks, again freed up in the construction side in last year development work in particular say subsea installation vessels. Just curious how that relates to your backlog, in other words if you have more opportunities for the construction side, would your backlog flow into revenue faster, in other words in, I think you said in the past, backlog to revenues converted over about eight quarters now. Does that potentially shrink with bottlenecks with constant debottlenecking out there?
John T. Gremp - Executive Vice President, Energy Systems: It is John. We haven’t seen anything like that. I mean our customers are anxious to take our equipment and have it ready and if there any schedule changes on the installation, they’re taking our equipment. So, we haven’t seen anything, no.
J. David Anderson - UBS: Okay, so no change on that side, okay. And I guess the other question I have was really more on the WECO/Chiksan side. Peter you said before about 75% of business is kind of after market or maintenance. Just wondering if you can share with us because some of your internal projections as you look onto ‘09. Would you expect that part of the business that 75% part of the business to accelerate in its growth in ‘09 and then maybe afterwards, maybe a little bit later in the year, could be more kind of say the new unit side. How are you looking at ‘09 in that business?
Peter D. Kinnear - President and Chief Executive Officer: Well, I think our current mix is probably a little bit higher on the spare parts side, given that the current spending on CapEx is a little bit slower than we anticipated. But if the capital comes back, then the mix will balance. I mean right now we have, obviously the unconventional gas drilling and the multi-stage fracs are I mean really hard in our equipment…the replenishment cycle is much faster now given the mix of the type of wells we’re doing. And we have teams that sit with our service companies and their field camps inspecting equipment and telling them to change out equipment. Because the worse thing that happened to one of the services to get out of well and have some equipment that fails during the frac job and I got to stop and do repair. So the service companies are very pleased to have us, helping them in terms of keeping their equipment up and running.
J. David Anderson - UBS: You could potentially see a surge in business just as people are trying to stockpile more of your equipment kind of keep on the side to make sure things operate that possible?
Peter D. Kinnear - President and Chief Executive Officer: Yeah, we could a little bit, but I wouldn’t think it would be that big a swing.
J. David Anderson - UBS: Okay, great. Thank you, gentlemen.
Operator: Your next question comes from the line of Thad Vayda.
Thaddeus Vayda - Stifel, Nicolaus & Co.: Good morning.
Peter D. Kinnear - President and Chief Executive Officer: Good morning.
Thaddeus Vayda - Stifel, Nicolaus & Co.: Just a couple of quick ones. First I think, Bill if you might be able to provide any sort of highlights of the post spin balance sheet. We can probably reverse the engineer to get to a starting point, but if there is anything and you can tell us what about your working capital cycle efficiency…it will be more or less efficient than pre-spin and any significant change in capital structure that might be helpful when forecasting.
William H. Schumann, III - Executive Vice President and Chief Financial Officer: Well, I think our working capital will be a little bit, little lower in total for the corporation. The subsea business, which will now be about 60% of the total runs on very low working capital percents dollars. I think you’ll see the working capital lower a little bit, not a whole lot. In terms of the balance sheet, it’s a little complicated. We’re going to get about somewhere between 150 to 175 million from JBT on July 31st. We will obviously take that into cash, we’ll pay down some debt and we’ll repurchase stock. Ultimately we’ll use all of that to repurchase stock through the next six to twelve months. So, you’ll see us kind of come back to a net debt level, zero plus or minus 100 million over the next two quarters probably.
Thaddeus Vayda - Stifel, Nicolaus & Co.: Okay, great. That’s actually very helpful and then just sort of a high level update on subsea compression, where do you guys see yourself position. How are the evaluation projects going? Any changes in potential opportunities there and how do you stack up in your view relative to your competitors at this point?
Peter D. Kinnear - President and Chief Executive Officer: Thad, it’s Peter. Good question. Compression certainly is a longer horizon in terms of the technology development. I think we mentioned before, we have a partnership with Siemens and they were selected as one of the pilot companies that have their equipment tested by Statoil. FMC got a contract to work on a fairly sophisticated control system going forward so we’re doing R&D work on that, new technology work and we… the longer-term benefit of the subsea compression is certainly there. But I think it’s going to take the industry some time, three plus years probably to get the equipment qualified and to find a good application for it. Certainly the Asgard gas field that Statoil has is a target and they’re working towards that end and the Shtokman field offshore, Russia is another big target for compression. So the interest is there, it’s just going to take a while for the industry to get everything in place.
Thaddeus Vayda - Stifel, Nicolaus & Co.: Okay. And actually something else just quickly and I know it’s hard to predict given the difference in scope. But do you guys have any sort of rough order of magnitude idea, the average price per tree that you can achieve on your call off contracts as opposed to sort of the big marquee projects if you periodically now, or is that a ridiculous question?
Peter D. Kinnear - President and Chief Executive Officer: It’s a tough question. I mean the problem is each agreement use… I mean we have… small independents are using very shallow water type trees and we have alliances with other customers using sophisticated deep water trees. I mean it’s being impossible to really answer.
Thaddeus Vayda - Stifel, Nicolaus & Co.: Okay, fair enough. Thank you very much.
Peter D. Kinnear - President and Chief Executive Officer: Okay, thank you.
Operator: Ladies and gentlemen, we have reached the allotted time for questions. Mr. Cherry, do you have any closing remarks?
Robert K Cherry - Director of Investor Relations: Yes. Thank you, Operator. This concludes our second quarter conference call. A replay of our call will be available on our website beginning at approximately 2:00 PM Eastern Time today. If you have any further questions, please feel free to contact me. Thank you for joining us. Operator, you may end the call
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today’s conference call. You may now disconnect